Analyst: John Pancari - Evercore Partners Ebrahim Poonawala - Bank of America Merrill Lynch Steven Alexopoulos - JPMorgan Jefferson Harralson - KBW Ken Zerbe - Morgan Stanley Emlen Harmon - Jefferies Jennifer Demba - SunTrust Robinson Humphrey Brad Milsaps - Sandler O'Neill Kevin Fitzsimmons - Hovde Group Nancy Bush - NAB Research David Bishop - Drexel Hamilton Christopher Marinac - FIG Partners
Operator: Good morning what is and gentlemen welcome to the Synovus Third Quarter 2014 Earnings Conference Call. (Operator Instructions). It is now my pleasure to turn the floor over to your host, Bob May, Investor Relations. Sir, the floor is yours.
Bob May: Thank you. Good morning everyone. During the call we will be referencing the slides and press release that are available within the Investor Relations section of our website synovus.com. Kessel Stelling, Chairman and Chief Executive Officer will be our primary presenter today with our Executive Management team available to answer your questions. Before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties. The actual results could vary materially. We list these factors that might cause results to differ materially in our press release and in our SEC filings which are available on our website. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise except as maybe required by law. During the call we will reference non-GAAP financial measures related to the company's performance. You may see the reconciliation of these measures in the appendix of our presentation. Due to the number of callers, we ask that you initially limit your time to two questions. If we have more time available after everyone’s initial question’s we will reopen the queue for follow-ups. Thank you. And now I will turn it over to Kessel Stelling.
Kessel Stelling: Thank you, Bob. Good morning everyone. We appreciate you joining our third quarter call and will review the highlights of the third quarter as well as discuss actions related to capital management which we also disclosed this morning. So first for the third quarter highlights. Third quarter net income available to common shareholders was $44.2 million or $0.32 per diluted common share. Net income available to common shareholders was 51.3 million or $0.37 per diluted common share after excluding the impact of net litigation related expenses, restructuring charges and Visa indemnification charges. I refer you to page 23 of the appendix which includes a listing of these components and I will talk a little bit more about them as well in just a minute. Total reported loans grew a $133 million sequentially. We were pleased with the FDIC market share data released the last couple of weeks which showed we retain top five market share in markets that represent about 80% of our core deposit franchise. Also pleased to see continued improvement in credit quality. Our NPL ratio declined to 1.18% from 1.27% in the second quarter of ’14 and 2.29% in the third quarter of ‘13. Our net charge-off ratio declined to 24 basis points in the third quarter of 41 basis points year-to-date. And again we end the quarter with very strong capital ratios. Tier 1 common equity ratio increased 18 basis points sequentially and ended the quarter at 10.60%. Our third-quarter 2014 Basel III common equity Tier 1 ratio is estimated at 10.50% on fully phased-in basis. I mentioned some litigation related expenses, so let me just make a litigation related statement which will hopefully provide some clarity on those expenses. The third quarter results include $12.3 million in charges related to litigation settlements. You can see this amount as a separate line item in the income statement. Additionally, the quarter’s results include a net benefit of $3.6 million from an insurance recovery related to attorney fees incurred in connection with litigation matters net of associated attorney fees incurred during the quarter. This benefit is recorded as a component of professional fees which are included in the adjusted non-interest expense line, combined these items add up to total pretax charges of $8.7 million or $0.04 per share. While we can't comment further on specific litigation, we believe that we have resolved substantially all of our pending overdraft related litigation matters which have been disclosed in our public filings. We continue to work through the resolution of various collection cases and counter-claims which arose during the financial crisis and it's always possible that resolution of these credit related cases can resolve in additional litigation related losses during a particular period. However, we’re pleased that with this quarter's developments we believe we have now substantially resolved the large exposure related to our pending non-retained litigation which is clearly in the best interest of our shareholders. I'll take you to page 4 and talk about loan growth. Third quarter sequential order of loan growth was $132.8 million or 2.6%. Retail increased 86 million or 9.1% driven by growth in consumer mortgages and HELOCs. C&I decreased 82.4 million or 3.2% reflecting the impact of a few larger pay-downs which Kevin and D can talk about later on the call. CRE increased 129 million to 7.7% driven by growth in the investment properties portfolio. Our year-over-year loan growth 877 million or 4.4%, we expect approximately 4% loan growth for calendar year 2014 as we had previously guided. We have seen an increase in new loan originations each quarter this year, our pipeline remains strong for the fourth quarter and we do usually have a seasonal lift in loans in the fourth quarter. We do project continued pressure from loan pay-downs. Page 5, average core deposits excluding State, County and Municipal deposits grew 204.5 million or 4.7% versus the second quarter of 2014. Our average core deposits decreased 18.6 million or 0.4% versus the second quarter ‘14. Total average deposits 20.94 billion increased 75 million or 1.4% versus the second quarter of ’14 and again as stated previously, we retained top five market share in markets that represent approximately 80% of our core deposit franchise and showed deposit share growth in many of our markets throughout the Southeast. Slide 6 talks a little bit about the margin, as we had suggested the margin was under pressure. The net interest margin decreased to 3.37%, down 4 basis points versus the second quarter of 2014. Our yield on earning assets was 3.81%, down 5 basis points from second quarter of ‘14. Yield on loans decreased 4 basis points to 4.28%. Our effective cost of funds was 44 basis points, down 1 basis point from the second quarter of ‘14. Net interest income increased $1.2 million versus the second quarter driven primarily by the higher day count in the quarter. We do expect moderate downward pressure on the NIM in the fourth quarter and as stated before we’re positioned to benefit from a potential increase in short term rates and on the right side of that slide you will see the net interest income sensitivity as illustrated by a change in short term rates of 100 and 200 basis points. On slide 7, third-quarter adjusted non-interest income was 64 million, a $598,000 or 0.9% increase from second quarter of 2014. Core banking fees 32.8 million, up $125,000 from the second quarter driven by $921,000 or almost 5% increase in service charges on deposits. Our FMS revenues, $19.4 million increased $382,000 or 2%, sequentially driven by brokerage revenue growth. Our mortgage banking income decreased $618,000 or 11.7% versus the second quarter. Mortgage originations totaled approximately $197 million up from $188 million in the prior quarter. The decline in revenue was driven by lower gains on mortgage loan sales. On slide 8, again a continued focus on expense management. Our adjusted 3Q ’14 non-interest expense was $166.8 million down $2.7 million or 1.6% versus the second quarter. Employment expense 93.9 million, up 1.3 million versus the second quarter due to one more pay day in the quarter and merit increases. Actual headcount down 3.4% versus a year ago, reflecting a continued implementation of efficiency initiatives which I will comment on in just a minute. Advertising expense was $7.2 million, up $896,000 versus the second quarter as planned and hopefully you've seen our branding efforts throughout the footprint as we invest in again that campaign to create awareness of our company. Professional fees 2.5 million, down 5.7 million versus the second quarter, that includes the benefit of $3.6 million in net insurance recovery for incurred legal fees related to litigation. And then expense savings initiatives are ongoing. I will comment a little bit about that, we’re making progress across all fronts. We have continued to rationalize our branch network later this month; we will be closing the 13 branches that we announced the previous quarter bringing the total number of branch reductions this year to 20 by year-end. As previously disclosed, on the last quarter call we expect to incur in the fourth quarter, approximately $6 million of additional restructuring charges related to the 13 branch closings. And again this relates to estimated lease exit costs. We’re continuing to work to make sure that we have the right number and mix of bankers and support teams matched with the opportunities for each of our markets. We continue to look for ways to lower corporate real estate cost by reducing the number of leases, selling underutilized facilities and consolidating properties in certain markets. Many of you may have seen an announcement in the Atlanta market last week as we look to again, make that market more efficient in terms of our real estate cost. By year-end our total headcount is expected to include a reduction of approximately 300 positions year-over-year. So at year-end we think that number will be 300 this year in conjunction with branch closings, further requirement of our branch staffing model as well as other efficiency initiatives. So as we say often expense management is a way of life and we will continue to make progress there. On slide 9, in terms of credit quality, you will see on the first graph, non-performing loans were $242 million or 1.18% compared to 260 million or 1.27% in the second quarter. Year-over-year improvement is about 46%. You may recall our guidance beginning of the year, as we would end 2014 with NPAs at or below 1.5% and NPLs at or below 1% based on a meaningful reductions we continue to experience throughout the year, we feel confident that we will end the year at or close to these levels. The graph to right of that shows credit costs of $16 million, down slightly from the $17 million in the second quarter representing about a 30% year-over-year improvement. We still expect credit cost to remain within the range of the past two or three quarters as we continue to resolve the remaining legacy credits and provide the loan growth. Bottom left graph shows net charge-offs for the third quarter ’14 of $12 million, or 24 basis points for the quarter and 41 basis points year-to-date. We’re pleased to end the third quarter already well below our guidance of 50 basis points for the year which we said at the beginning of the year and we expect to get a charge-offs of the fourth quarter will remain at or below the current levels. And at the bottom of the graph, bottom right shows our past due is greater than 30 days, which is another indicator of the improved quality of our portfolio. You can see on the graph that our past dues remain at low levels, currently 36 basis points. It's also worth noting that our 90 day past dues are only 2 basis points. Slide 10, we talk about capital, again in the quarter we have very strong capital ratios. All capital ratios increased versus the prior quarters per primarily due to earnings and DTA accretion with some offset from loan growth. I will walk you through the key ratios, there the Tier 1 common equity 10.60% of 18 basis points from the prior quarter. Tier 1 capital 11.19% versus 11.01% in the second quarter.  Total risk based capital, 13.17% versus 13.03% in the second quarter of ‘14. Leverage ratio, 9.85% versus 9.69% in the second quarter of ‘14. Our Tangible Common Equity ratio, 11.04% versus 10.91% in the second quarter of ’14, and again the third quarter common equity ratio, Tier 1 under Basel III on a fully phased-in basis is estimated at 10.50% well in excess of minimum requirements and again just to remind you all that we still have a very significant deferred tax asset that will continue to generate regulatory capital in future periods. On slide 11, just to recap what we issued in the release this morning as we had said on the last call and during the quarter we expected to provide more clarity around our plans for capital efficiency on this call and we’re pleased to do so. We announced that the Synovus Board has authorized a share repurchase program for repurchase of up to $250 million of our common stock over the next 12 months. The Board also approved an increase in the quarterly common dividend from $0.07 to $0.10 per share, that dividend increase will be effective with quarterly dividend payable in January 2015. We're pleased with the increased dividend share buyback. We think it will provide increased returns to our broad shareholder base while also maintaining our flexibility to reinvest in the business and pursue growth opportunities. So, pleased to announce that today and we will be happy to take your questions on that in just a minute. Before we go to the Q&A just a few comments about our go forward strategies, again we’re pleased with another solid quarter of progress. We’re pleased with the capital actions announced today. But I want to spend just a couple minutes about the activities that’s currently under way to generate growth in coming quarters and over the long term. Our focus clearly continues to be only serving our customers better, increasing sales, gaining greater efficiencies as I alluded to earlier. Over the last several months, our main activities have resulted in the realignment of retail and commercial talent throughout our company to bring greater strength and precision in the way we are serving customers and reaching out to prospects. These efforts to fine tune our approach are ongoing but we have made tremendous progress since late spring, early summer in shifting talent systems and processes to get customers access to resources that focus day in and day out on the kind of banking and financial management services they need and that they have come to expect from our company. Just walk you through those business lines, our retail team focus primarily on meeting the needs of consumers, small business and mass affluent segments. That team is focused 24/7 on serving on those retail customers. And in addition to the brick-and-mortar banking, we continue to add and improve mobile, online, ATM, telephonic banking channel so that our customers never have to worry about our banking hours. At the same time, we continue to streamline our branch network in response to changing customer preferences and behaviors. We mentioned earlier that our technology investments are showing measurable returns. We've got increased ATM transactions, decreased branch traffic and we anticipate the launch of our more robust mobile banking product later this year. We will just continue that trend. So, in response to that we will continue to reduce the number of branches in our network where the volume is trending down or locations overlap and we intend to increase the efficiency of our remaining branches through streamlined floor plans and flow, universal bankers and staff that is just better aligned with sales opportunity. At the end of the day, our goal is to offer our customers an enhanced experience no matter what channel they are using to bank with us and our team -- gives our team more time to focus sales efforts to this targeted customer base. Also, with our corporate bankers again positioned them to concentrate on specific commercial segments based on geography and expertise. We really believe we have an opportunity in the untapped middle market segment. We are currently going out strong state-based team with new and existing talent. We allowing our corporate real estate teams the same way, partnering with existing talent on geographically focused teams. And then we continuing to increase our presence in highly specialized banking segment like senior housing, healthcare equipment financing, by bringing in experienced bankers who understand the complexities in these kinds of banking relationships. Our financial management services team focused on cross-selling across all customer segments leveraging internal partnerships both receive and send referrals among each of our business lines. We are real proud of the efforts there; there is a lot of momentum behind our family asset-management line which specializes in managing multi-generational wealth. They have a healthy and active prospect pipeline, a very loyal existing client base and has been recognized as one of the Top 50 family offices in the world. We've recently put resources on the ground in Birmingham to tap potential in that region up through North Alabama and into Tennessee. We've already seen significant wins in that space. And again to tie it all together I think the key and differentiator for Synovus to tie all of these segments together is our community bank team, that team lives and works in our markets, those local bankers are the face of our company. They are the key connectors of both products, services to all of our customers. Our local leadership, again we believe has long been a differentiator of our company with deep ties in the community and gives those bankers just a very unique view into the needs of local customers and prospects. And it gives our bank greater flexibility and speed in our customers. Simply put, it's just the unique story of Synovus as we continue to share through our branding efforts, how our model has worked and will continue to work. I'll share, it's a very quick story. I was in Huntsville, Alabama this past week celebrating the 30th anniversary of our Huntsville bank and met some of the greatest and most loyal customers I have ever met and I think one customer summed it up best, he said, no matter how big your company gets, you always act and feel local and that's why I bank with your company. I think that is the story of Synovus past, present and future. We are very proud how our team continues to operate that way. So with that operator I would like to open the line-up for questions. We have our usual team here and we will take your questions as long as time allows.
Operator: (Operator Instructions). Our first question today is with John Pancari. Please announce your affiliation and then pose your question.
John Pancari - Evercore Partners : Evercore. Good morning, on the buyback program, it's good to see it was announced. Just want to see if you can give us some color on how you determine the size of the program. Was it governed by a combined payout ratio that you agree to with the regulators? And then also, where this could -- I want to get some thoughts on where this could ultimately go.
Kessel Stelling: John, it wasn't anyone factor. It was a combination of a lot of internal analysis of, certainly of consultation with regulators to make sure we understood their thoughts. Looking at our own stress test results, looking at our growth and again we think this is a very measured approach to again returning capital to shareholders. So, we think this is the right start. Our first priority obviously is to fund the organic growth of the business, but we want to make sure that we provide shareholders with regular dividends in this payout ratio. And then, again we believe this level keeps our company very well capitalized and also keeps the dry powder more additional opportunities to grow our business. So, I wouldn't say there was anyone limiting factor. This is part of an ongoing process that we believe can continue over the longer term. But again what the board authorized with this action was $250 million over the next 12 months.
John Pancari - Evercore Partners: And then on the loan growth side, just wanted to see if you can give us a little more colors on the larger -- a little bit more color on the larger pay downs in the quarter. And I know you also indicated that they should continue. So just want to get some color, there. And then your thoughts on loan growth as we head through 2015, could we see a back in that 4% to 6% range? Or is it going to likely hover around the 4% level? Thanks.
D Copeland: Of course when you start to talk about the pay downs with us, we continue to reduce assets from a disposition standpoint while that's moderated this year. We also had some pay downs on the CRE side with a shorter cycle, but we were able to really offset that with the bankers in the market. I would say the main story on the pay downs, really tied to a couple of things on the C&I side. The first would be company acquisitions. We had several companies that we were involved with that were sold and so that debts were paid down. Some of them or most of them were long term relationships. So we maintain relationships with the owners and other capacities in loans. And in addition to that the long term financing market continues to be pretty hot and they will go in and we will take some of our short term debt on the C&I side and really go longer-term with it. And so and then I think the second part of your question may end up being what does loan growth look like for the fourth quarter? I think as you see we've left on an annualized basis, we would be in the ballpark of around 4% and so we think we should have a little stronger than fourth quarter than we had third quarter. My main reasons for talking about that would be the pipeline at the end of the third quarter was strong. The mix of the pipeline was really good with both C&I and CRE opportunities in the pipeline and also just to give you a feel on our new fundings during the year basis, we've increased new fundings or fundings on our new loans each quarter this year. So, the activity side is good but we will continue to watch what's happening in the overall market on the pay down side.
John Pancari - Evercore Partners: But I actually asked about 2015 trends around loan growth, any color there?
D Copeland: I think we basically said we will give that guidance maybe at a later date.
Operator: Thank you. Our next question is with Ebrahim Poonawala. Please announce your affiliation and then pose your question.
Ebrahim Poonawala - Bank of America Merrill Lynch: Ebrahim from Merrill Lynch. I guess first question just in terms of your margin guidance expecting some more compression heading into the fourth quarter. I guess, specifically if you could comment on commercial loan yields. It seems to have stabilized in the last couple of quarters and I'm just wondering like should we expect the same kind of couple of basis points per quarter contraction in commercial loan yields or is there sort of a higher decline at some point because of rate flows or something else that’s going on there?
Tommy Prescott: We actually got it from two quarters before this and we have downward pressure because of the reason you just described. And actually, that seems to be deferred out to the third quarter this year. We actually -- our new and renewed drop down below four and we saw movement on the competitive pricing side that we believe would happen even a little bit earlier. So, really, the main factor in bringing the margin down four basis points this quarter was the lower earning asset yields, that was worth about 5 basis points overall, about 4 basis points of that was from the loan yields. We did get a little bit of a boost from the funding side. The cost of that went down a basis point. So net-net we were down four basis points. We don't think that is worth the pressure but we will still be out there, we believe and we got it that we will see moderate downward pressure in the margin in the fourth quarter and it would really be -- we believe could be similar to all the drivers that occurred during the third quarter this year.
Ebrahim Poonawala - Bank of America Merrill Lynch: Good. I guess just a second question following up on John's question around share buybacks. It's a pretty substantial amount about 8% of market cap, I guess as we think about it, how aggressive could you be? I know you like to be opportunistic but in terms of -- should we think about those buybacks as most likely to be staggered over the next four quarters, over the 12 months or, could it be a bit more aggressive than that?
Tommy Prescott: You know without getting too specific, we certainly like to do a meaningful amount sooner rather than later in the next couple of quarters. But again we'll be opportunistic and we will again disclose the appropriate time as we have been able to repurchase shares. But again, I guess you should consider the full amount over the four quarters. But, again would certainly like to do a meaningful amount over the next couple of quarters.
Operator: Thank you. Our next question is with Steven Alexopoulos. Please announce your affiliation and then pose your question.
Steven Alexopoulos - JPMorgan: Hey, JPMorgan. Good morning everyone. I want to start, I guess on the expenses. Many banks are guiding up expenses over the next year talking about compliance cost, continued spending for technology, you have inside of that, your retail bank. You guys should have benefits from the cost initiatives but when you net those together with the required spend, how should we think about a range for expense growth over the next year?
Kessel Stelling: Well we haven't given any expense guidance. So let me just talk in more general terms. You are right. We have continued to make significant investments in technology and which quite frankly are beginning to produce tangible results and in the coming quarters we believe we will be able to share more data with you there. We have made investments in a lot of different marketing and really business channels that are beginning to produce revenue as well. On the flip side, on the expense side, we've again continued to take cost out through branch closure, branch rationalization. Really a review of everything we do around here. So -- I mean certainly there is pressure on expense because of just normal operating opportunities quite frankly but we have got a diligent eye on trying to maintain that rate of expense growth over the next 12 months. Tommy, I don't believe we've given any more specific guidance about 2015 expense. So I would just say to you, certainly there is pressure and there is intense effort to keep the levels down.
Steven Alexopoulos - JPMorgan: Okay so maybe let me ask it this way, if we look at the $167 million of adjusted expense, is there a still enough wiggle room where you could keep driving that down on a net basis from this point?
Kessel Stelling: Again I think that would go to the guidance that we haven't given yet. But I would say this within that number there are opportunities to drive components of that number down. The real question is the offset of additional investments that we'll be making. So, again our team has I think done a great job of taking a lot of cost out and that effort continues today. It will continue through the fourth quarter. But in terms of absolute levels, we're not prepared to guide for 2015 -- that number, yet. I would just say that within that category there are opportunities for continued reduction.
Steven Alexopoulos - JPMorgan: Okay, maybe separately, over the past year the loan to deposit ratio has gone from 94% up to around 98%, now. Can you talk about the funding strategy for loans, what the impact might we to funding cost or NIM? And how high are you comfortable letting the loan to deposit ratio go? Thank you.
Kessel Stelling: Our thoughts on the deposit side are really over the near term to have deposits tracking at a similar level to the loan growth. We went through a period where we had loan shrinkage of $8 million so we were in a mode to not really be aggressive on deposits. We are turning that around obviously on the liabilities -- I mean on the asset side. So we’re likewise turning around the deposit side with incentives, with the focus on our frontline people and with our products, and with our pricing and so you would expect to see some positive movement. We saw some of that in the third quarter when you take out the State, County, Municipals which don't have the same exact value, certainly in the core and we’re after the core that isn't State, County, Municipal. And you saw some positive movement there and I think that's a foothold for moving forward that way. The ratio you described you know -- right now keeping it under a 100, within the 95 to approaching a 100. But we think that over sometime, that we would bring that down modestly.
Operator: Thank you. Our next question is from Jefferson Harralson. Please announce your affiliation and then pose your question.
Jefferson Harralson - KBW: Thanks, KBW. Question is on the investments for next year. It sounds like the expense guidance you don't want to talk about which is fine but are you planning on hiring lenders? Drawing corporate offices, expanding in your bigger cities, that kind of thing? What's your general thoughts for next year on expansion plans?
Kessel Stelling: The answer is really yes to all of those which again is why we know that there will be some pressure on the expense side but those types of expenses are really the ones you want to incur because they certainly have a revenue lift. So we've been really pleased with the addition of new talent over the last year, two, three, four, five during the cycle. I believe with our profile today, and with the overall expanding of our company has become much easier to recruit to Synovus and tell our story. Again we talked about adding family office resources in the Birmingham market and we have added specialty healthcare lending talent in the Birmingham market which is covering our entire footprint, we've added some, again in the equipment finance area, corporate banking area, some really great additions to the team. We will continue to look at that during 2015. We have an active network and again I think the best part of that story is that our story is just easier to tell. So, across all business lines we’re in the market for high performance bankers that share our culture and how we treat and expect others to treat our customers. So that will continue into 2015, the goal will be to look for expense cuts in other areas so that we can invest in those things that touch the customer.
Operator: Thank you. Our next question is with Ken Zerbe. Please announce your affiliation and then pose your question.
Ken Zerbe - Morgan Stanley: Ken Zerbe, Morgan Stanley. My question just in terms of I guess a sort of a combination of capital ratio and buybacks. Obviously between the buyback and the dividends, you’re paying out well over 100% of your earnings. How long does this continue? All right, at what point -- like what is your target or what is the constraining capital ratio that you’re looking at such that this continues even with modest loan growth? You are eating away at those capital ratios. Where are you ultimately going to end up?
Tommy Prescott: Ken, we've got $530 million DTA that's providing a lot of support and probably puts us in a unique position to help cover the capital ratios. We believe that we'll keep the capital ratios at a very strong level, Tier 1 common will stay above 10. We believe that we’re well equipped from an earnings, from a liquidity, from a cash in general and plus the capacity we have with the DTA, we think we'll stay in-line with it and have that capacity get to 250. The year is a pretty long time, so we think we will have a good feel to work on.
Ken Zerbe - Morgan Stanley: Okay. All right and then the second question I had on the expense side, just on page 8, the 166.8 million of adjusted. Does that already back out the benefit from the 3.6 million insurance recovery, such that I guess the true adjusted expenses are really closer to 170 million? I'm just trying to make sure I get the ongoing numbers right.
Tommy Prescott: Yes sure if you back that out, we would be instead of slightly better than before, we'd be $900,000 over the 169.5, it's just a little over 170 million and really the things that drove that were the -- having an extra salary day, the advertising expense going up, occupancy and equipment, seasonal [ph], air conditioning cost if you will going up and that was the driver to that. We actually think -- we've been very careful to lift that out -- talk to out of the earnings per share numbers where we have the non-GAAP disclosure and certainly want to make sure everybody understands the flow of the core. So we basically would be a little bit above the second quarter if you took that out.
Operator: Thank you. Our next question is with Emlen Harmon. Please announce your affiliation and then pose your question.
Emlen Harmon - Jefferies: Hey, it's Emlen from Jefferies. Could you give us a sense of what your price sensitivity is on the buyback? I mean obviously kind of down around tangible book value, here it makes a lot of sense to buyback the shares. But just kind of getting to know your philosophy, would like to understand how you think about that?
Tommy Prescott : Yes. We’re going to be opportunistic; we’re looking at a one-year runway and lots of movement during that time. But we don't have that kind of -- we will not put that kind of guidance out there currently because quite frankly, we will be watching all the moving parts and we will better know how to answer that as we go.
Emlen Harmon - Jefferies: And then just quickly on the paydowns, could you quantify, actually quantify what those were this period versus what they are in a more typical period?
Kessel Stelling: I don't think we would have disclosed what total paydowns would end up being. There are a lot of factors that go into that. I think what we would say is on specific, larger customers with transactions -- those would have been a little higher than they had been previously.
Operator: Thank you. Our next question is with Jennifer Demba. Please announce your affiliation and then pose your question.
Jennifer Demba - SunTrust Robinson Humphrey: SunTrust Robinson Humphrey. On the announcement you made regarding consolidating Atlanta real estate, you have a sense of the timing of those actions and what the financial impact would be? And are there opportunities like that that are meaningful in other parts of the footprint?
Kessel Stelling: Yes, I think there could be, Jennifer. We actually have done some similar to that already in Columbus as we exited some buildings and brought our employees closer together. And quite frankly there is both an expense save their and then just an overall efficiency of getting and leveraging employees in a comment space. We've done it here. In Atlanta, the analysis is already begun. We do have some thoughts on the expense opportunity. We haven't disclosed that yet. I would hate to put that out because we would be in negotiation with a lot of different properties and/or landlords. But, we do believe in Atlanta and I know you know this -- I will say this for the benefit of others, our Bank of North Georgia is ultimately the rollup of about nine -- I believe the correct number is nine banks. So with that you have nine buildings that were at one time the headquarters locations for their respective banks and then we have pockets of both Synovus and Bank of North Georgia employees really scattered throughout Metro Atlanta. Some in high-rise office buildings, some in former bank headquarter locations, some in excess branch space. So, we think there is tremendous opportunity to really get that footprint right and you know ultimately we could even expand the number of locations in Atlanta, but to get out of that 10,000 to 15,000 square foot spaces and get more efficient with our branch delivery and from an office utilization get more of our people in a common location or common locations. So the timing of the work has begun. We do believe there is expense opportunity there, we believe, again there is overall efficiency just in space utilization. And quite frankly we do think it's an opportunity to better brand our bank if we could bring more employees in Atlanta together in a common location. The ability to market and brand with some sort of more significant presence in a single location is very attractive to us. So, I would just say, stay tuned on that and the work has begun and as we can give more color, we certainly will.
Jennifer Demba - SunTrust Robinson Humphrey: Okay. Could I ask a follow-up of Kevin? Fastest growing categories over the last year have been multifamily and office. Can you give us some color on what the nature of your loans have been there and how you are feeling about those segments right now? Particularly multifamily and that supply there?
Kevin Howard: We've had pretty solid growth on multifamily. Our legacy developers held up pretty well and they are back growing again. We've had a small student housing segment starting to grow a little bit as well as the talent we brought in our large, corporate real estate group. They had a lot of good relationships in that segment. So, we've had pretty good growth there, double digit year-over-year growth on the multifamily side. Again a lot of that construction oriented, and a lot of paydowns. We actually probably had a $100 million - $150 million of withdrawals this quarter of funded construction loans and had over $100 million of paydowns. So that's kind of a natural cycle of multifamily. It's a robust permanent market out there and it's been no really bias in the footprint, pretty spread out. We've had a little bit more maybe in Charleston, Orlando, Atlanta than some of the other places but it's been spread out around the footprint and that’s been a real healthy portfolio for us throughout the year even through the cycle, a lot of good customers. Office has been -- it's funny -- we haven't had as much activity, although we've had more net growth there and that’s because we are doing almost exclusively funded loans where they are either acquisitions or refinance. And so they are funded day one unlike our construction loans on the apartment side. In the permanent market, in office, it's not very robust and so we are holding those loans, the life is a lot longer on the balance sheet than the apartments. So it's interesting we are not putting on as much there, but it's more funded loans and they are staying on longer but I will tell you there is very little if any construction in that. We are not doing spec space. It's been more refinancing of really good credit tenants and -- so we've been pleased to have growth there. We'll continue to watch the high growth areas. But considering the makeup of that office portfolio, we like the outstanding’s that we've had over the last year.
Operator: Thank you. Our next question is with Brad Milsaps. Please announce your affiliation and then pose your question.
Brad Milsaps - Sandler O'Neill: Sandler O'Neill. Just wanted to talk a little bit more about the earning asset mix, you guys have done a nice job of managing the liquidity on the balance sheet down over the last four to six quarters. The fed funds were up a bit in the third. I know you had some paydowns, so just kind of curious kind of what your thoughts there on sort of low level for liquidity on the balance sheet in terms of how you think about funding your growth going forward?
Tommy Prescott: A while ago I mentioned the focus on the deposit side of the house. That's a key piece of our go forward business. We make sure that our front line people understand the deposit found is as good as or better than a loan found. So we’re pushing that from just a focus product, pricing and incentives. So, you'll see positive activity on that. We saw the beginning of it, that really popped up in the third quarter in the areas that we were looking at that we were pushing for. On the other side of the balance sheet, on the securities side -- we actually -- it's kind of hard to get excited with the current rates and in the third quarter you saw basically a static level on that. Some of that capacity can be more or less redeployed to help fund -- to deploy that asset over to the loan side in this current environment. We have to keep a certain amount of it to maintain the liquidity. But when you can rarely have a two in front of the securities addition right now -- we've basically kept that at a static load. So we want to bring the ratio -- the loan deposit ratio down over some time but, actually when you look at our internal plan, we were really right where we – basically right where we want to be on the -- a little bit behind the loans, but at the right spot on the deposit side. So, we feel like we're on the right trajectory.
Brad Milsaps - Sandler O'Neill: Just second question to switch gears, just on the rate of provisioning, one of the lowest levels you guys have had in a while. Obviously you have seen a lot of improvement in NPLs. Just kind of curious your thoughts on reserve levels and kind of how you think about the provisioning over the next several quarters?
Kessel Stelling: Yes the provision was down significantly this quarter. Some of that was -- we didn't quite get the loan growth maybe as we expected. But also just the quality shift is the main driver. When you go from -- when you go to last problem loans that carry higher reserves that certainly gives you a lift there as well. So, we are happy and that provision may still backup over the next couple of quarters with loan growth. We hope that happens and we’re expecting that to happen. So, it is probably -- it could be at a low point, the way I look at that. As you noticed, our (indiscernible) expense did go up a little bit. That's attributed more to our disposition effort was almost exclusively ORE. So the overall credit cost were again where we felt there would be 15 to 20 on the reserves. We kind of see that as stabilizing around 130, 131. I think it was this quarter and probably over the next few quarters you could have a slight decrease but we think more -- the appropriate word there is stabilize at least for the next couple of quarters and we will guide further into that.
Operator: Thank you. Our next question is with Kevin Fitzsimmons. Please announce your affiliation and then pose your question.
Kevin Fitzsimmons - Hovde Group: Hovde Group. Just a quick question on – there has been a few already on the Atlanta announcement but is that -- was that really part of the expense program you already had laid out? The $30 million of savings to offset the $30 million you are spending or is that something that’s incremental?
Kessel Stelling: Kevin, that would be incremental. It's conceptually we talked about looking at corporate real estate expense but not that was not -- if you are asking if that was in the previously identified $30 million? No, because this would be 2015 and beyond and again we believe the Atlanta opportunity is both expense and brand awareness driven. So, we're excited about those opportunities to maybe get more of our team together there and I think maybe Jennifer had asked about additional opportunities. We think there will be but certainly Atlanta is our largest market and probably represents the scene of more acquisitions than any other, so there is an intense focus there. But, we've engaged professionals and they are constantly looking in other markets for opportunity to reduce cost.
Kevin Fitzsimmons - Hovde Group: And Kessel just I understand you guys aren't ready at this to layout guidance for 2015 on expenses or in loan growth but it's definitely something that's crucial to the story going forward and they are really linked. So do you think -- without holding to a specific time, do you think over the next quarter or so you are going to be in a position to give more of an outlook on expenses and then in-turn also loan growth and specifically I would think, in theory, a lot of this spending is not just to offset compliance spend but it's to drive loan growth going forward and that there'd be some kind of linkage there?
Kessel Stelling: Kevin as we've really done -- and as you know us well, we try not to guide on things that we don't have clarity on. So, today if we were on the loan growth standpoint, if we were giving thoughts, it's going to be mid-single digit but I don't think it would get much tighter than that today. And certainly as we get through year-end we will do that. And Tommy and Al Gula and team continue to look the ways to drive cost out. So, we certainly want to hold expense down and again we do believe that a lot of our investment in infrastructure as it relates to compliance, AML/BSA. I don't want to ever say that we are caught up because you probably can't ever get caught up. We believe that has certainly been appropriate and we have confidence in the level of that investment. So it's much more exciting to look at investment in technology that either increases efficiency or makes that customer experience even better, which is ultimately going to drive revenue and that’s where we are investing in technology today and then also as we invest in people, both the prior investments by the way that we make heavy investments in senior housing several years ago, that's now getting much more mature. Big investments in equipment and finance a year or so ago, that’s starting to again get more mature but in the earlier stages, the investments in the specialty healthcare lending, very recent, that will then produce corresponding revenue. So as we get a clearer picture, we will do our best to put the right color in the right guidance but certainly want to do it in a way that we can back it up to you guys and we'll certainly do that.
Operator: Thank you. Our next question is with Nancy Bush. Please announce our affiliation and then pose your question.
Nancy Bush - NAB Research: NAB research. Two questions, one for Tommy. Tommy, when you look at the professional fees on slide 8 and the decline in fees which of course needed to be adjusted for some special items. On the whole subject of fees, costs, et cetera related to what I would call the crisis. Are there substantial reductions yet to come? And are these going to be lumpy? Or are they occurring at a predictable pace et cetera? If you could just give us some color there.
Tommy Prescott: Yes, if you look at that $5.7 million decline in the third quarter if you back out the 3.6 million, you are still 2 million to the good -- in reduction. So I believe when you really think about some of the clearing of the debt we did this quarter, we should see some continued positive move in our professional fees and certainly in our attorney fees. So, I think there is opportunity to carry these on into the next year. While we are not guiding specifically to that, just directionally, that will be a positive for us.
Nancy Bush - NAB Research: So I mean the reduction in those cost should continue at least through 2015?
Tommy Prescott: Yes, I mean when you look at really you know all the (indiscernible) we have been through as a company really on a lot of fronts, there is opportunity to continue to redeploy some of the cost that we've had in getting through the cycle to more positive things and in some cases actually continue to eliminate a good bit of the cost.
Nancy Bush - NAB Research: And secondly just the growth in the residential portfolio, mortgages and HELOCs continues to be pretty respectable. Do you guys see yourselves making market share gains there? Is it a consequence of your markets et cetera? If you could just give us a little color on that 9% annualized growth.
Kessel Stelling: Yes I mean I think as far as market share maybe I would say probably what would be the biggest piece in the third quarter growth on the home equity side would be timing of the way we did promotional home equity lines. We had some positive growth there on the side of the primary mortgages. Really, that one is taking care of our strongest customer base and really going in and financing folks that already have primary checking accounts and other relationships with us and deciding to hold those on the portfolio. So really to me it's more of an expansion of the existing customer base and making sure we’re wrapping that customer base up well.
Nancy Bush - NAB Research: The promotional home equity lines, were they across the company? Or were they just in very specific markets?
Kessel Stelling: It was across the company.
Operator: Thank you. Our next question is with David Bishop. Please announce your affiliation and then pose your question.
David Bishop - Drexel Hamilton: Good morning, Drexel Hamilton. A question for you, sort of somewhat technical. In terms of the deferred tax around DTA, it was breathing back into capital at a rate of maybe like 31 million per quarter, slowed a little bit this quarter to about 18 million. Anything going on particularly there in terms of forecast maybe future profitability, tax liability? Just curious what sort of drove that decrease so to speak?
Tommy Prescott: The key driver is fourth quarter look but there is other moving parts that go in there and there is really nothing that unusual in the third quarter yield. On a go forward basis as you get into Basel III, the methodology will change. So it will actually give us a slight buffer because you move from a four quarter look to an application of timing differences in the equation instead of the way it's been done so far. So, we think we're well set on that. We'll actually see a little bit of benefit as Basel III kicks in.
Operator: Thank you. Our last question today with Christopher Marinac. Please announce your affiliation and then pose your question.
Christopher Marinac - FIG Partners: Good morning, FIG Partners in Atlanta. Kessel, thank you for the color on the guidance related topics this morning. I guess my follow-up on all of that is just to ask about the ROA, looking out a little bit longer than just 2015. Is the ROA which has been around the 70 basis point range stable in the last few quarters? Is that in a position to expand in the next 18 to 24 months? Or are you thinking more about managing it to the sort of same stable level we've seen recently?
Kessel Stelling: We do believe it can expand. Certainly, an increase in short term interest rates makes it easier to reach our targets in higher levels; it is not required for us to get there. But, if rates do stay flat, certainly we will require accelerated growth in fee income or further G&A reductions. But we do believe we have the opportunity to expand their. We know some of our investors which is quite frankly our sentiment as well that we need to push those returns closer to 1% and have a plan to do that. We've not been time specific, but again rates would help. But, I don't think I'm in a better position than anybody else to predict that. But absent rates, increases in fee income, which we've made substantial investments in fee generating producers and then further G&A cuts would certainly help accelerate that.
Christopher Marinac - FIG Partners: And I guess as my follow-up separately this has to do with your historical relationship with other community banks. I know on a one-off basis you have been sort of a big brother to other community banks as they have grown. Is there something that Synovus can do more of? Is this an opportunity for more loan growth for you going forward?
Kessel Stelling: Certainly, there could be opportunity there. Without getting into specifics, I think we assisted two other banks over the last couple of years with actions related to their TARP exits. They publicly disclosed that, so I won't name them. And they are a little larger maybe than historically we would have participated with and quite frankly we appreciate that opportunity. So if this is a marketing call, then yes, we do think there could be some opportunity there. Again, we think a healthy banking climate is good for all of us and even though we compete with a lot of the people you are referring to, there could potentially be opportunity there. And there is some -- we have got great friends out there that historically we've done a lot of business with and we certainly are watching the activity in the market very closely today.
Operator: Thank you. That was our last question for today. I'd like to turn the floor back to management for closing statements.
Kessel Stelling: Okay. Well just briefly, again, I just want to thank everyone for joining the call today. I hope our comments have been insightful as it relates to performance. And again really excited to now bring clarity to our capital actions which we had been discussing for the past year post TARP which seems like a long time ago. So again I thank you all for being on the call. I thank our team for what they are doing every day to grow our customer base. I thank the customer base that again has stuck and continues to stick with us and really to all of our shareholders, I assure all of you we will continue to do what we can to increase shareholder return. So thank you all for joining the call today.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.